Operator: Hello, ladies and gentlemen, and welcome to participate in Orient Paper's First Quarter of 2017 Earnings Conference Call.
 At this time, I would like to inform you that this conference is being recorded. [Operator Instructions]
 Joining us today are Mr. Zhenyong Liu, Orient Paper's Chairman and Chief Executive Officer; and Ms. Jing Hao, the company's Chief Financial Officer. Remarks from both Mr. Liu and Ms. Hao will be delivered in English interpreters.
 Orient Paper announced its first quarter of 2017 and financial results via press release yesterday, which can be found on the company's website at www.orientpaperinc.com.
 First, Mr. Liu will brief you on the company's key operational highlights over the first quarter of 2017, and then Ms. Hao will review the company's financial results.
 Before we start, I would like to draw your attention to our safe harbor statement. Management's prepared remarks contain forward-looking statements within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. All statements other than statements of historical fact in this announcement are forward-looking statements, including but not limited to anticipated revenues from corrugating medium paper, tissue paper, offset printing paper business segments; the actions and initiatives of current and potential competitors; the company's ability to introduce new products; the company's ability to implement capacity expansion; market acceptance of new products; general economic and business conditions; the ability to attract or retain qualified senior management and personnel and research -- ability -- company's ability to introduce new products and the company's ability to implement capacity expansion; market acceptance of new products; general economic and business conditions; the ability to attract and retain qualified senior management personnel and research and development staff; and other risks detailed in the company's filings with the Securities and Exchange Commission. 
 These forward-looking statements involve known and unknown risks and uncertainties; and are based on current expectations, assumptions, estimates, projections about the company and the industry. The company undertakes no obligation to update forward-looking statements to reflect subsequent or current events or circumstances or to changes in its expectation, except as may be required by law. Although the company believes that the expectations expressed in these forward-looking statements are reasonable, it cannot assure you that this expectation will turn out to be correct. And investors are cautioned that actual results may differ materially from the anticipated results.
 There is a presentation document featuring management's prepared remarks and is now available for download from the company's website at www.orientpaperinc.com.
 Please note that there will be discussions on non-GAAP financial measure; or EBITDA or earnings before interest, taxes, depreciation and amortization. Please refer to our press release for a complete reconciliation of EBITDA to net income. As a kind reminder, all numbers in our presentation are quoted in U.S. dollars; and comparisons refer to year-over-year comparisons, unless otherwise stated.
 I would then like to turn the call over to Mr. Liu. His comments will be delivered in English by Tony Tian from Weitian investor Relations. Mr. Tian, please go ahead. 
Xuedong Tian: Thank you, operator. And good morning, everyone. Thank you for joining our First Quarter 2017 Earnings Conference Call.
 Our revenue decreased by 9.4% to $25.3 million for the first quarter, with a decrease in sales volume across all products categories as a result of a government-mandated temporary restriction on production that has been in place since November 2016. However, margins and profitability improved significantly in the first quarter, thanks to continued uptick in average selling prices for regular CMP as well as decrease in operating expenses.
 Over the past few months, we have seen continued uptick in prices for paper products. On the other hand, cost of sales has decreased significantly due to the use of new recycled raw material and the use of natural gas to replace coal as an alternative energy source in our production. 
 Looking ahead, where we continue to face the uncertainties of government-mandated production restriction and suspension from time to time, we expect the overall price environment to remain relatively stable for the remainder of the year.
 Now I will turn the call over to our CFO, Ms. Jing Hao, who will review and comment on the first quarter financial results. Her comments will be delivered in English by Janice Wang. Janice, please go ahead. 
Janice Wang: Thanks, Tony. And thanks, everyone, for being on the call.
 Next on behalf of the management team, I will summarize some key financial results for the first quarter of 2017. Also, I will [ occasionally ] refer to specific production lines associated with various products. I will make clear to which products I'm referring to. For reference, though, the numbering system for our production line is provided in our earnings press release; and on Slides #17, the earnings call presentation.
 Now I will look -- let's look at our financial performance for the first quarter of 2017.
 Please turn to Slide #7. For the first quarter of 2017, total revenues decreased 9.4% to $25.3 million due to the decrease in sales volume for offset printing paper, lightweight CMP and tissue paper products.
 Turning to Slide 8. For the first quarter of 2017, the CMP segment, including both regular CMP and lightweight CMP, generated revenue of $21.7 million, representing 85.7% of total revenue. $19.5 million of revenues is from our regular CMP products, and $2.2 million was from lightweight CMP. 
 Volumes for CMP segment decreased by 8.9% to 52,815 tonnes, of which 47,792 tonnes was regular CMP and 5,023 tonnes was lightweight CMP. 
 Average selling price or ASP for regular CMP increased by 25.6% to $407 per tonne, while ASP for lightweight CMP increased 32.9% to $440 per tonne.
 Turning to Slide 9. For the first quarter of 2017, our offset printing paper segment generated revenue of $2.9 million, representing 11.6% of total revenue. 
 We shipped 4,756 tonnes offset printing paper in the first quarter, decreased 56.3% from the same period of last year. 
 ASP for offset printing paper also decreased by 6.1% to $615 per tonne.
 Turning to Slide 10. For the first quarter of 2017, tissue paper segment generated sales of $0.7 million, down 55.9% from the same period last year. 
 We shipped 558 tonnes of tissue paper in the first quarter, decreased 56% from the same period last year. 
 ASP was $1,260 per tonne, which were essentially unchanged from the same period last year.
 Slide #11 summarizes the changes in our revenue mix. For the first quarter of 2017, cost of sales decreased by $4.5 million to $19.6 million, leading to gross profit of $5.7 million from $3.8 million from same period last year. And the gross margin of 22.4% decreased -- increased by 8.9 percentage points from last year.
 For the first quarter of 2017, SG&A decreased by $1.5 million or 36 percentage to $2.8 million compared to $4.3 million for the same period of the prior year.
 For the first quarter of 2017, income from operations was $2.9 million compared to loss from operations of 6 -- of $0.6 million for the same period of last year. 
 Operating margin was 11.4% compared to operating loss margin of 2.1% for the same period of last year.
 For the first quarter of 2017, net income was $1.7 million or $0.08 per basic and diluted share. This is compared to net loss of $1.4 million or loss of $0.06 per basic and diluted share for the same period of last year.
 Moving to slides both 19 and 20, let's look at the balance sheet and the liquidity.
 As of March 31, 2017, the company had cash and cash equivalents, short-term debt, current capital lease obligations and long-term debt of $4.6 million, $14.9 million, $8.8 million and $15 million, respectively, compared to $2.3 million, $5.1 million, $8.8 million and $14.9 million, respectively, at the end of 2016. Net inventory was $8 million as of March 31, 2017, compared to $5.6 million at the end of 2016.
 As of March 31, 2017, the company had a net working capital deficit of $6.4 million compared to $6.1 million at end of 2016.
 Net cash provided by operating activities was $1.4 million for the first quarter of 2017 compared to net cash used in operating activities of $0.5 million for the same period of prior year. Net cash used in investing activities was $5.3 million for the first quarter of 2017 compared to $0.4 million for the same period of the prior year.
 Net cash provided by financing activities was $6.2 million for the first quarter of 2017 compared to $1.9 million for the same period of the prior year.
 Now if you have any questions please contact us through e-mail at ir@orientpaperinc.com. Management will respond to your questions through e-mails as soon as possible.
 Operator, please go ahead. 
Operator: Thank you for attending Orient Paper's First Quarter 2017 Earnings Conference Call. This concludes our call today, and we thank you for all listening in. Goodbye.